Operator: Good morning, and welcome to the GFL Environment for Q3 earnings call. [Operator Instructions]. I would now like to turn the conference over to Mr. Patrick Dovigi, CEO and Founder of GFL. Please go ahead, sir.
Patrick Dovigi: Thank you, and good morning. I would like to welcome everyone to today's call, and thank you for joining us. This morning, we will be reviewing results for the third quarter. We will also provide an update on recent M&A activities and our outlook of what we expect to finish the year.  I am joined this morning by Luke Pelosi, our CFO, who will take us through our forward-looking disclaimer before we get into the details.
Luke Pelosi: Thank you, Patrick, and good morning, everyone, and thank you for joining. Please note that we have filed our earnings press release, which includes important information. The press release is available on our website. Also we prepared a presentation to accompany this call that is also available on our website.  During this call, we'll be making some forward-looking statements within the meaning of applicable Canadian and U.S. securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set out in our filings with the Canadian and U.S. securities regulators.  Any forward-looking statement is not a guarantee of future performance, and actual results may differ materially from those expressed or implied in the forward-looking statements. These forward-looking statements speak only as of today's date, and we do not assume any obligation to update these statements, whether as a result of new information, future events and developments or otherwise.  This call will include a discussion of certain non-GAAP measures. A reconciliation of these non-GAAP measures can be found in our filings with the Canadian and U.S. securities regulators.  I will now turn the call back over to Patrick, who will start off on Page 3 of the presentation.
Patrick Dovigi: Thank you, Luke. We are extremely pleased with the results we are sharing today, which we believe continue to demonstrate the resilient growth profile of our business.  For the second quarter in a row, we've delivered the highest revenue, adjusted EBITDA and adjusted EBITDA margin in GFL's history, and nearly $180 million in free cash flow, all despite the significant headwinds from COVID-19 across our footprint. Revenue increased over 15% compared to the prior year period driven by continued sequential volume improvement and 4.2% growth from price, surcharge and commodity price increases in our solid waste business as well as the rollover impact of synergies realized from M&A completed in prior periods.  Overall, solid waste organic revenue growth was 680 basis points greater in Q3 than in the second quarter, and sequential improvement in solid waste volumes tied to easing of COVID-19-related restrictions drove 2.5% positive organic growth in our solid waste business. The impact of COVID-19 continue to vary by service line and region, with our solid waste business continuing to show strong resilience. Negative volumes continue to be primarily attributed to our commercial and industrial collection and post-collection business, with residential collection and recycling volumes positive for the quarter. From a market perspective, our primary solid waste markets, where we saw the greatest volume decline in Q2, were the markets that we had the greatest sequential improvements in Q3. For example, our Eastern Canada solid waste business, that includes our Toronto and Montreal markets, saw over 1,000 basis points of volume improvement sequentially over Q2. Volumes in our secondary markets also improved, although the sequential increases in these markets were more muted, as the initial declines were less than what we saw in the primary markets. In our infrastructure, soil and liquid businesses, the rate of recovery was slower than what we saw in solid waste as our customers delayed their capital and maintenance expenditures as part of their own COVID impact mitigation measures.  Impact demand for our services, we also saw the impact of COVID-related regulatory permitting delays impacting the start of new projects or project phases. Once again, we expect that the impact vary by region. Infrastructure and soil revenues in the U.S. business, which is concentrated in the highly COVID impacted Northeast and California markets, saw greater volume impact than our Canadian business.  Liquid waste revenues were a similar story, with the volume recovery slower in our Midwest U.S. market where COVID-related disruptions had an outsized impact on our customer demand for our services. Liquid waste revenues in Canada saw 1,300 basis points of volume improvement sequentially over Q2, with volumes in Eastern Canada almost flat compared to the prior year. Across both the infrastructure and liquid businesses, we expect the volume decrease to simply be a timing shift and will return as our customers reset their budgets in 2021 and reengage on their capital and maintenance projects. We have a line of sight into a healthy backlog of work in these segments and anticipate volumes will continue to recover in conjunction with the market-specific reopening activity.  Looking at how the revenue impacts translated to the bottom line, the overall increase in revenue, coupled with our ongoing focus on cost control and efficiencies, resulted in 240 basis points of margin expansion in our solid waste business and 200 basis points for the company as a whole, resulting in the highest adjusted EBITDA margin in the company's history, as I mentioned earlier. Drivers of the margin expansion are the same themes we covered last quarter. Overarching are the impacts of our pricing, procurement and synergy realization initiatives we've discussed previously. We are also seeing the benefits of our continued COVID-related focus on improved asset utilization and productivity, coupled with cost control of discretionary SG&A costs.  Finally, the macro factors of higher commodity and lower diesel fuel prices provided a net margin benefit as compared to the prior year. In terms of FX, with over half of our results being generated in U.S. dollars, the transitional impact from fluctuating FX rates impacts our results, which are reported in Canadian dollars. The $and CAD exchange rate resulted in 0.5 revenue increase over the prior year, although the average exchange rate for the quarter was 300 basis points less than in the second quarter. The offset to the lower revenue and profits reported during the period of weakening $is that our USD-denominated debt is also revalued at the lower FX rate, reducing our debt balance and leverage ratios.  The expanded EBITDA margin, coupled with continued focus on working capital management and disciplined capital allocation, contributed to nearly $180 million of free cash flow generated during the quarter, a result in excess of our expectations and a new record for the company. Looking at working capital specifically, our previously discussed initiatives around order to cash cycle time continue to show improvement, and you can clearly see the results in the year-over-year collection experience. The DSO improvements are something I know our whole team is very proud of and an area that we continue to believe there's incremental upside.  Not to downplay the record financial performance, but the most impactive aspect of the quarter, and this is an exact repeat of what I've said in our prior calls, is this continued dedication and capabilities of our employees to respond to the ever-changing operating environment. Through the incremental risk management steps and protocols that we have implemented as outlined on our prior calls, we continue to prioritize the health and safety of our workforce. Safety-related staff's absenteeism continue to be at some of our best levels ever, and I couldn't be more proud of how the team has come together in the face of this unprecedented challenges. In addition to the strong performance of our base business during the quarter, as you all know, we were all busy on the M&A front as well. We closed the WCA acquisition on October 1 and the acquisition of the Waste Management and ADS divestitures last week. We have spoken about both of these deals several times, so I'll save the majority of the discussion on this topic for the Q&A session.  But what I will say is the following. We remain very excited about these opportunities that these businesses and opportunity will bring to GFL. We have a well-defined integration plan for both of these businesses that are already well underway. We are extremely confident that these assets will provide incremental platforms for us to continue to pursue our organic and acquisition growth strategies.  During the quarter, we also closed 3 small tuck-in transactions, and our M&A pipeline continues to remain full. Some of these transactions in our pipeline were contingent on the WM-ADS assets closing. So now that, that acquisition is closed, you will see us pursuing these opportunities.  Before turning the call over to Luke to walk through the financial information in more detail, I wanted to walk everyone through Page 4 of the presentation, which we thought will be a helpful summary of the messages we have consistently delivered.  On the left-hand side of the page, we've listed the 5 key things that we communicated during the IPO and that we have consistently echoed since then. We have delevered the balance sheet from high 6s to low 4s. We've taken margins from 24.7% in 2019 to nearly 26% in year-to-date 2020. We completed the 2 longer solid waste transactions that we alluded to at the time of the IPO and continue to execute on our tuck-in program. We adhere to our leverage commitment by bringing in new equity at attractive terms. And we've used our improved credit profile to reduce our cost of borrowing as demonstrated by our 3.75% August bond offering and the pending repricing of the revolver, bringing our average borrowing cost from mid-5s to high 4s with a clear path to low to mid-4s in the near term.  On the right-hand side of the page, we've listed the focus areas for us going forward. There are no larger acquisitions on the horizon, so now we will pivot the focus on integration, while continuing our tuck-in program. We remain extremely confident in our ability to leverage our platform and our strategic initiatives to continue to drive margin expansion. The free cash flow profile of the business going into 2021 will now accelerate the deleveraging of our balance sheet, and we will continue using our improved credit profile to reduce our cost of borrowings.  I will now hand the call over to Luke, who will walk through the financial results for the quarter in more detail.
Luke Pelosi: Thanks, Patrick. Turning to Page 5 of the presentation, we have provided a summary of revenue growth by operating segment. Now I'm not going to repeat the words on the page, but I'll add the following color. First, I think it's worth reiterating the fact that we had 2.5% positive organic revenue growth on our solid waste business in the quarter. In fact, if you look at the bottom table, you can see we had positive organic revenue growth in the year-to-date period, which we think is a pretty incredible outcome considering the backdrop.  For the quarter, the 3.5% net price was slightly ahead of our expectations and was achieved, despite the impact of volume decreases in the ICI service line, which are typically a big contributor to price.  Our overall pricing excludes the impact of pricing initiatives of our 2020 M&A and continues to be impacted by negative CPI adjustments on certain municipal contracts. So altogether, we are very happy with the outcome on the pricing front and remain confident in our ability to deliver on our stated pricing goals for the year.  In addition to the growth in core pricing, we realized an incremental 70 basis points tied to commodity prices, where we realized a blended basket price nearly 30% higher than that of the prior year. Our blended basket was priced in Q3 was down 30% from Q2, but remains above that realized in the prior year.  On solid waste volumes, collection volumes were down 3.6%, which was comprised of a 7.5% decrease in IC&I, offset by nearly 2% positive volume in residential. This compares to a total collection volume decrease of 8.4% in Q2, so a meaningful improvement quarter-over-quarter.  Post-collection volumes were up 8.5%, largely on the strength of MRF processing volumes coming out of the successful leveraging of the 2019 Canada Fibers acquisition to establish our business as the leader in recycling processing in Canada. Excluding MRF volumes, post-collection volumes were negative 6.9% for the quarter, a 790 basis point improvement from Q2.  On infrastructure, soil remediation and liquid waste, I'm going to reiterate what Patrick highlighted. Due to a combination of regulatory and permit delays driven by the COVID-related shutdowns and customers intentionally deferring certain activities as part of their own COVID-related mitigation strategies, we saw a delay in new projects starting and, as a result, a more tempered recovery in volumes than what we've seen in our solid waste business.  Again, the impacts were highly regionalized with soil volumes in the Northeast and liquid volumes in the Midwest U.S. lagging the recoveries we've seen in our Canadian markets. What played out during the quarter and continues to play out in business lines is a more tempered recovery than we had anticipated based on the trend line that we were seeing in late Q2, early Q3. Our guide had assumed infrastructure would be negative low single digits and that liquid waste would be organically negative high single digits. As Patrick said, we expect the most part that this is a timing issue, and we expect the volume return as we roll into 2021.  Turning to Page 6, we summarize margins by segment. Solid waste adjusted EBITDA margin was 30.6% for the quarter, which was a 240 basis point increase over the same period in the prior year. Patrick provided overall drivers of the expansion, but in terms of the specifics of the margin walk, the key components include 72 basis point benefit from lower diesel cost, 53 basis point benefit from higher commodity prices. Offsetting these macro tailwinds was an approximately 10 basis point drag from the incremental COVID-related costs.  Acquisitions were basically margin-neutral, primarily attributable to Canadian tuck-in acquisitions that have yet to achieve their anticipated margin profile, offset by margin-accretive contributions from 2020 acquisitions in the U.S. Excluding these items, the base solid waste business drove 125 basis points of organic margin expansion over the prior year, despite the decremental impact of COVID volume declines.  Consistent with what we said in the prior quarter, soil and infrastructure margins are being impacted by the change in business mix, reflecting reduced volumes from low volume, high-frequency customers. Recall that due to the relatively fixed cost structure of our soil remediation facilities, there's a higher decremental margin impact from reduced volumes.  The relatively muted impact to margins year-over-year, despite the $27 million revenue decrease, is attributable to the cost control strategies that we've implemented and are indicative of the underlying margin improvement we've been focusing on in this line of business. We expect that as volumes recover, we'll see significant margin expansion consistent with what we have previewed as the opportunity within this segment.  Our liquid waste business continues to be the segment most impacted by COVID-related disruptions. In response to the volume decreases, we flexed over $7 million of operating costs out of the base business on a like-for-like basis, mostly around direct labor and vehicle costs. This cost flex, in conjunction with continued synergy realization and a nearly 13% increase in net UMO selling prices, drove the organic margin expansion as compared to the prior year.  Similar to my commentary on the fixed cost nature of the soil segment, when you think about the $17 million revenue decrease from lower liquid volumes on a year-over-year basis, the realized margin expansion highlights the underlying operating leverage we're realizing in this segment.  Turning to Page 7. Reported cash flows from operating activities were $257 million in the quarter, $125 million sequential increase over the second quarter driven by lower interest cost and higher working capital, as we had forecast. The 214% increase in cash flows as compared to the prior year is a combination of the increased scale of the business and capital structure as well as improvements in working capital management and the ongoing payroll tax deferrals and tax refunds we realized in the current period on the CARES program.  As a reminder, on working capital, we've historically seen a significant investment in the first half of the year and then a recovery in the back half driven by the seasonality of the business. The continued Southern expansion of our U.S. footprint and our active focus on optimizing our working capital processes is flattening this historical seasonal curve and providing an overall recovery of some of the historical investment in working capital. As Patrick mentioned, our efforts around our order to cash cycle time are improving DSO, which is also benefiting working capital.  We continue to actively monitor our credit exposures in light of the uncertain landscape, but the quarter did not see any significant incremental credit losses outside of the normal course.  Collections remain very strong. Now notwithstanding the strength in AR and collections, we've continued to actively manage our cash balances and pushing up AP balances at month end.  In terms of investing activities, we closed 3 tuck-in acquisitions late in the quarter, representing approximately $20 million in annualized revenues. The longer-than-expected delays with the Waste Management-ADS divestiture assets pushed back the timing of some of the opportunities we've been working on. But the pipeline is full, and we're very actively pursuing several opportunities.  On capital expenditures, we spent $86 million for the quarter, which included approximately $8 million in what I call remedial capital related to recent acquisitions, which was incremental to our original guide. Cash flows from financing activities are primarily comprised of the new $750 million 3.5% 5-year notes we issued in August. Free cash flow for the quarter calculated as cash flow from operations less net capital expenditures was $177.1 million, which includes acquisition-related costs and the soil, liquid and FX revenue impacts previously discussed.  To summarize, our cash flow is in comparison to our previously provided guidance. Recall, we've said that cash flow from operations for the back half of the year would be approximately $475 million. Q3 was $257 million, or approximately $275 million, excluding transaction and acquisition costs incurred in the quarter that were not part of our original guidance.  Before considering the impact of WCA and Waste Management-ADS, which I'll touch on separately in a moment, I wanted to highlight that we remain confident in our ability to deliver on our targeted cash flow from operations for the year, despite the revenue headwinds we saw in the quarter from soil and liquid volumes and FX, which, based on the current environment, may persist for the balance of the year.  Additional shutdowns and reimposed restrictions, like what we've recently seen in Quebec and Ontario, may add to that headwind, and those are obviously something that we're watching closely.  On CapEx, the guide for the back half of the year was $160 million. We spent the net $80 million in Q3, or just over $70 million when excluding the remedial CapEx that was effectively acquisition cost on recent deals, which leaves close to $90 million for Q4 in order to hit our target.  Based on the success we've been having on our recycling operations, again, leveraging the expertise in assets we acquired through the Canada Fibers acquisition, we are evaluating net new opportunities to deploy an incremental $5 million to $10 million into our recycling operations during Q4. The timing of when the spend will occur is still up in the air. But excluding this incremental growth capital, we are on track to meet our CapEx target.  Before turning the page, I will touch on the WCA and Waste Management-ADS acquisition, but I will be brief as it's early days on both of these transactions. As we've told you before, these assets have been performing very well this year and had great third quarters, so we're very excited about the go-forward opportunity. Our robust integration plans are well underway, and we remain confident in our ability to deliver the underwritten synergies within the time frames we've previously discussed.  WCA will contribute a full quarter of revenue to our Q4 results, and the Waste Management-ADS assets will contribute 2 months of revenue. When thinking about the expense of their contribution, if you take the estimated annual revenues we've previously disclosed, pro rate and then seasonally adjust, I think that provides a good proxy.  Keep in mind, there's a significant seasonality profile of the Waste Management-ADS asset package driven by the concentration of revenues in the Midwest and the absence of the more seasonally stable residential and permanent roll-off revenues. Our current view is that the combined businesses will deliver $135 million to $145 million of revenue during the fourth quarter.  The inclusion of this incremental revenue in our fourth quarter results and the fact that we're able to close WCA one month earlier than previously expected will more than offset the headwinds from soil, liquid and FX and will allow us to exceed our previous revenue guidance for the year.  In terms of the cash flow statement impacts from these 2 deals, I'll provide the following color. The Waste Management-ADS assets did not come with working capital, meaning that no AR came over with the transaction, so there will be a cash outlay there over the first few months as we invest in a normal accounts receivable balance. This was a consideration that was factored into the purchase price. WCA came with normal working capital, so there may be some investment there, but there shouldn't be a material swing.  Integration CapEx is expected to be about $3 million to $5 million primarily on IT spend. WCA CapEx is expected to be in the $18 million to $20 million range, which is inclusive of $6 million to $8 million of growth CapEx that was committed to prior to closing and contemplated in the WCA purchase price. The CapEx needs for the Waste Management-ADS assets are still being evaluated.  There's no incremental cash interest to what is already included in the guide as a result of these transactions. And in addition to normal course integration costs, advisory-related transaction costs for these 2 deals will be approximately $12 million to $15 million in Q4.  We are deep into the process of forecasting our 2021 plan, and we'll provide more specific updates when we report our fourth quarter results. What I will say now is, although there have, and will be, some puts and takes, namely around FX and the specialty waste volumes and the timing of the deal closings, we remain confident in our 2021 revenue and EBITDA jump-off point that we provided as part of our guidance in August, subject to FX-related fluctuations.  Quickly turning to Page 8. We have presented a summary of net leverage at the end of the quarter. And we have presented this page several times now, so I won't go over it again in detail. But I will highlight that we ended the quarter with net leverage in the low 4s. And pro forma for the 2 acquisitions, we expect to end the year with leverage at the high end of mid-4s, all of which is consistent with our previous messaging.  With the amendment to our revolver, free cash flow profile and refinancing opportunities, we have ample liquidity and opportunity to pursue our growth goals, further reduce our cost of borrowing and delever our balance sheet.  With that, operator, we're ready to open the line for questions.
Operator: [Operator Instructions]. Your first question comes from Hamzah Mazari from Jefferies.
Hamzah Mazari: Patrick and Luke, my first question is, as you know, there was a short report thesis on the company. We didn't really hear GFL publicly sort of talk about their thoughts as to that -- validity of that thesis, so wanted to just give you this forum to kind of outline your views for investors on what you thought of that report that made various allegations around aggressive accounting, overpaying for assets and et cetera, et cetera.
Patrick Dovigi: Okay. Well, I wasn't expecting the question. But yes, I mean, I think from my perspective, listen, my mother always told me if you have nothing good to say, don't say anything, so I won't reference the short seller by name. I mean, the reality is, from our perspective, let the numbers talk and just deliver on the plan and deliver on the plan that we articulated to all the investors as part of the IPO.  In life, there's always going to be haters, and you know what, these guys take whatever position they take. But it's hard for me -- you, as an analyst, spend a lot of time at the company trying to understand the company. What I would tell you is I've never spoken to the short seller, never heard from the short seller, whether it's before the report or even after the report. So other than seeing a bunch of tweets and a bunch of noise, I don't really have much interaction with them.  The fact is we've delivered the highest margin, the highest EBITDA, the highest free cash flow in our history. I think we're one of the only, I think, peers in the comps that have actually posted organic growth in our solid waste business.  As we articulated, our margins are going to keep going higher. We delivered $170 million -- $177 million of free cash flow in the quarter. Our volume and pricing was extremely strong. And over 14 years, we've done nothing but make investors money. I mean, if you go back over the last 14 years, you had Genuity in health care maternal pension plan and made almost 7x their money. You had Rural Capital that made 3x their money. You had HPS that made almost 3.5x their money. And you have Macquarie, who made 2x their money. And you have a new shareholder group that have done extremely well as those guys.  And I think, if you look at what the path is and the trajectory of where we're going, we are on a path to do exactly what we said we were going to do. I think if you look at it today, I mean, let's put aside the character assassination for a second. Just because I'm Italian, it doesn't make me a mobster, but that's distasteful. I mean, whatever, it's hurtful, and it is what it is, but I'll park that aside.  I mean, at the end of the day, he tried to blow up our financing, he failed. He tried to blow up our acquisitions, he failed. He tried to scare institutional investors away, he failed. He tried to match with our audit opinions and comfort letters with our auditor Deloitte, he failed. I mean, he told us we can't integrate businesses and we overpay for access, I think that you're clearly seeing we've had 12 basically quarters in a row where we've delivered margin expansion.  So if the model wasn't working, the business will be going backward. We won't be going forward. So again, I don't think -- in terms of overpaying, I mean, keep in mind, we've been under private equity partnerships for 14 years. Private equity investors' expectations of return on equity and our return on invested capital are a lot higher truthfully than what the public markets do, and those investors create a significant discipline on us, the management team, and that's going from these moves -- you have BC partners up here, teachers' pension plan and GIC who are insiders in this company, who have to approve these substantial acquisitions.  And believe me, if we weren't delivering on our returns on equity, our returns on invested capital, these acquisitions would not be approved. So that's what I would say on that. I think if you look at where we are, we told you, as Luke just said, we would deliver on the free cash flow profile of the business on the back half of the year.  All of that is playing out exactly how we said it would. If you look at sort of 2021, which was the launch-off point for 2021, for all intents and purposes today, not giving forward guidance, you have $500 million plus of free cash flow for 2021.  If you look at that thing, where we're sitting, today, we're trading at a 6.5% to 7% free cash flow yield. The peer set is trading at 2.75% to a 4% free cash flow yield. That is $37, $38, $40 stock, you have a lower number. And we're only in the second innings here of a long baseball game. I mean, we're just getting started.  We talked about all different things from delevering, right? We've delevered. Now we're going to lap our rolling -- our average cost of capital, which is a big focus of ours going in.  So again, I think all of the things we said we're doing, we will continue to do. And at the end of the day, the overarching theme of it is that we have a shareholder group. The shareholder group, if they didn't have the confidence in management to deliver the plan, would have never allowed this company to go public. Nobody would sell us. They were 1.5 or 2 years into their investment where they normally hold things for 5 to 7 years.  We know what we can do. We know that we will deliver and execute the plan over time. And we know we, along with all other shareholders that invested in the IPO, will get rewarded with the plan we have and how we are going to execute over time. I don't know if that covers your question. I ran long.
Hamzah Mazari: Yes. No, that's very clear. I think the other question would be, just now that these deals have closed, just frame for us execution risk, integration risk, integration plan.  I know WCA Waste was owned by Macquarie, so was Waste Industries. So clearly, there's some institutional knowledge there. ADSW probably has some nice synergy with your Waste Industries platform. But just walk us through how you're thinking about -- how people should get comfortable around execution risk and integration and time frame to integrate these assets.
Patrick Dovigi: Sure. So on WCA, WCA was clearly way more straightforward. Synergies came from, again, the bulk of the corporate office insurance sort of health and benefit, where the big synergies that we were going to get out of that asset, all the operational synergies are stuff leading you to model that we know exist, and we can talk about the different regions that are going to tuck into our existing business.  So that has gone -- we anticipated and communicated to the market that we would close out by November 1. I think, with the DoJ and given the WM-ADS process, we were able to persuade the DoJ that this made sense to make us an even stronger competitor in the U.S. than we already were. And we were able to get clearance earlier and closed that earlier. So one month ahead of schedule in terms of owning the asset.  We have a full plan from our operating system, infrastructure, financial systems, customer experience, shared services, which are building AR, cash AP, Workday, which is our HR platform with our GFL benefit and our maintenance platform to have that fully integrated by Q2 of 2021.  I can tell you, it's been an exceptional experience so far. Again, just the institutional knowledge that we've had with that company over the years and the replication of our systems and their systems along with the WI systems over time has just made it a very straightforward process.  In terms of the rejuvenating of the regions, I mean, at the end of the day, yes, there was some overlap with our existing business, particularly in Alabama and now with the WM asset in Florida and some overlap in Colorado. But largely, for the most part, that acted as a standalone, like I said, the corporate synergies that we'll get out of that, and we anticipate it will come out over the next sort of 6 to 12 months. So no issues with WCA.  On the Waste Management-ADS divested, which, again, a little bit more complicated. You have an integration team here at GFL that's been doing this for almost 14 years. I will say the planning and the experiences that we've had with waste management and ADS over the last 16 months have paid off in spades.  If you look at where we are from an integration standpoint today, we have all of our operating systems, financial systems, customer experience, shared services, building AR, cash AP and -- on our platform today. That was all done within sort of 24 hours of closing. And again, I credit our IT department and the great employees that came over with both WCA and ADS and Waste Management that helped us get through that very smoothly. We did a lot of dry runs and that team, truthfully, without a lot of pain, was able to get us off and operating and basically sort of shut the taps off from any transition services agreement that we would have needed with Waste Management.  Now we are still relying on them for some infrastructure-related, IT-related issue. But I think at the end of the day, the most important system, the operating system, financial systems and basically the shared services, building AR and cash AP are now on our system.  So we feel extremely great and confident about where we are. And the integration process with the business is -- in the markets where we have overlap is well underway. So the part that, I guess, could have been feared the most was the actual transition on the day of closing has gone exceptionally well. And again, it's on all the great work that everyone's done on our side as well as the Waste Management-ADS team.  And one thing I will say is all of this is done in-house. We are not using any third-party consultants to do this work for us. This is all done by people that are sitting in the company today and have executed on this very well. So we're in great shape from that perspective.
Hamzah Mazari: Okay. Very helpful. Last question, and I'll turn it over. Is the free cash flow number for next year, you guys guiding to $500 million plus? Or what's the building blocks for free cash flow for next year?
Luke Pelosi: Hamzah, this is Luke. I think we're going to come out in Q4 with our guide for 2021. I think Patrick was just sort of speaking at a higher level, and we can talk about the launch-off point of where we see the end of this year-end in. But we're not providing that guide at this time. I think, Patrick, just in his response to that first question was just sort of speaking more holistically and directionally.
Operator: Your next question comes from Michael Hoffman at Stifel.
Michael Hoffman: Could we dig into the solid waste operations and pull apart the difference in your experience between the U.S. and Canada on your organic growth? Canada had a better organic versus U.S. Can we talk about what's in your mix, your price, your volumes and why that is? And then we'll move on from there.
Luke Pelosi: Yes. So Michael, it's Luke speaking. What I would say, I think, a key driver of the differentiation in Canada versus U.S. in this quarter was really on the strength of the MRF processing volumes that we referred to in the prepared remarks.  I mean, if you think you go back to the Canada Fibers business, we saw -- as the recycling market was pivoting, we saw a good entrance point to enter the Canadian market with that acquisition late in 2019 and have been actively sort of organically expanding that across the country was primarily and sort of Central Canada-based business. And I think that really contributed to the outsized growth in Canada in the quarter.  If you look at the regular way IC&I volumes, whether it's collection, post-collection, I think, pretty similar across the geographies with the exception of the primary, nonprimary splits that we've said. And what I mean by that, in Canada, our primary markets still continue to see greater impact than our more secondary, and that was the experience in the U.S. as well, albeit more of our U.S. is sort of non-primary.  From a pricing perspective, I mean, the U.S. continues to be slightly stronger on the price. I think what you have there, one, just, again, the primary, secondary split, but also the residential business slightly different in the U.S. with a higher concentration of subscription, which will take the price versus in Canada. You don't have any subscription. And in fact, we're actually burdened with some negative CPI in Canada this quarter.  So I think that the IC&I pricing comparable in the U.S. and Canada, but that residential pricing profile is different between the 2 geographies, and that's how I'd characterize the differences between the regions.
Michael Hoffman: Okay. And then I was trying to keep up with the pace of the data you're giving us, Luke. Can you just summarize for us, the deal contribution in 4Q '20 is sales of $135 million to $145 million, that's in Canadian dollars? And then will we see EBITDA on the free cash flow?
Luke Pelosi: So that's U.S. dollar revenue from kind of the two deals, that's the expectation there. Again, slightly off the sort of straight pro rated math, but it's for the seasonality that I spoke to. I mean, on EBITDA margin, we're still early days coming with that. If you look at the blend of what we said for the annualized EBITDA margin for those, I think, out of the gate, with the seasonally low 2 months as well as just the integration, something a little bit less than what those blended averages we had said. But we're still sort of early days on the ADS-WM piece.  What I'd say on the cash flow is -- like, there's a couple of nuances I spoke about on the script. It's really some sort of catch-up type CapEx -- catch-up is the wrong word, but some known CapEx spend and then this working capital component that are going to appear as cash flow items in our Q4 statements and the cash flow from operations, but are really purchase price sort of considerations.  I mean, if you look at the WCA business paying 12 12, I mean, it really should have been more like 12 25 when you consider some of these puts and takes on capital and working cap. And then similarly, the purchase price of WM-ADS. Part of that negotiation contemplated that there was no working capital, and we had to invest $10 million, $15 million into it.  So those two items are going to appear as negative sort of cash flow from operations in Q4. I would characterize them more as sort of purchase price type items. So x that, with the EBITDA margin sort of direction I'm just providing, I think you see those as sort of cash flow-neutral in the quarter, obviously, excluding the deal-related advisory costs.
Michael Hoffman: Okay. And originally, we were sort of mid- to low -- high 20s, those blended margins between the two businesses. You're suggesting with seasonality, we're probably low 20s to mid-20s.
Luke Pelosi: At the mid, that's probably the right way to be. I mean, I think that some of the synergies, we'll be able to realize sooner than anticipated, which is going to help. But again, if you think about the Wisconsin-type business, I mean, with the seasonal profile of their's, Q4 is a significantly lower margin than Q3 and Q2.
Michael Hoffman: Yes. So you remember seeing that in ADSW when they reported. What's the rollover of all your M&A for -- on -- into '21 sales, so we get that number right?
Luke Pelosi: We will end the year about -- I mean, again, it's sort of FX sense. I mean, just to back up, in general on FX. I mean, we're going to now have sort of, call it, $700 million of EBITDA that's U.S. dollar-denominated. At the revenue side, think about that sort of $2.5 billion, $2.6 billion of revenue. And I mean, so every penny there of FX has a significant impact.  So if I look right now at -- well, the FX I had a few days ago, I have about $900 million rolling in to -- 2021 is the rollover. That's really the WCA and WM dollars comprising sort of $800 million-plus of that. And then the other small deal is the balance.  If you think about the cadence of that rollover, you're going to see roughly 1/3 and 1/3 in Q2 -- in Q1 and Q2, a little bit higher in Q3 as the seasonality ramps up, so sort of mid- 30s in Q3 and then a slight tail in Q4. But again, the rollover and the launch-off point, there is just this FX consideration.  If I look -- I mean, when we provided the guide originally, our base business was at sort of 1.35. And the new deals, I think we had in that guide at 1.34. I mean, if I look this morning, we're now touching 1.30. I mean, that sort of 0.05 there on our, call it, $700 million of EBITDA, like, that's a $35 million swing there.  So that's the one thing, Mike, that will impact the launch-off. We're going to work on some constant currency presentation to try and normalize that for folks going forward, but that's just the one caveat I'd provide.
Michael Hoffman: Okay. Fair enough. But just so I'm clear, $900 million is -- it's the Canadian number. You've reflected the conversion.
Luke Pelosi: Correct. CAD 900 million rolling over in the cadence that I described.
Michael Hoffman: Got it. All right. And then Canada has taken aggressive shutdown again. So how do we think about -- how is that factored into your -- how you're leading us to the end of the year? Your confidence in the free cash flow in the second half of CAD 275 million to CAD 300 million were the launching off into a $500 million number as a baseline for 2021.
Luke Pelosi: Yes. I'm looking at Patrick. Look, the Canadian dynamic is -- it's very challenging to model and forecast because it seems to sort of flip every different day with different sort of guidance.
Patrick Dovigi: Today, it's pin the tail on the donkey, right? It's just on one day, we're off and one day, restaurants are open. One day, they're closed. One day, gyms are open. One day, they're closed. I mean, at the end of the day, I mean, if you look today in Canada, you have Toronto and Montreal that have gone back into shutdown. Then you have Winnipeg that has gone into a shutdown.  Now it's not anywhere near the extent of the shutdown that we saw in the spring of 2020. But yes, there's going to be impact from this. And at the end of the day, those impact, I think we've relatively muted in comparison to what they were in Q2. And we have the ability to outperform in other parts of the business that we think make up for that. But yes, it will be a small headwind, but from a free cash flow perspective, et cetera, I think we feel very confident of the numbers that we've laid out.
Luke Pelosi: Yes. Mike, I'd say, to Patrick's point, look, there's obviously a revenue. I mean, the FX impact and then you have the sort of incremental sort of shutdown. So now, look, there's going to be continued strength in our solid waste business, like we saw in Q3, from the diversified offerings across recycling, et cetera. Soil and liquid are going to continue, I think, we've assumed, at the current levels.  So if you think about our guide at the revenue line for the year, it was sort of 40 -- 40, 60 in the middle, 40, 45 on the low end. I mean, I think FX alone sort of brings you to the low end, and then the soil and liquid continues to sort of be a drag there. Now offsetting, we've got WCA done a month earlier than anticipated. That provides some sort of offset and then, again, some of the strength in the other sort of solid waste services. So I think there could be puts or takes at the revenue line driven by those changes. But as Patrick said, I think with some improved cash management and working capital performance, we can hold the line on the free cash flow line.
Operator: Your next question comes from Kevin Chiang at CIBC.
Kevin Chiang: Maybe just two for me. First, just on the Canadian pricing. You noted you saw some headwinds with CPI. And in your disclosure, you talked about some temporary suspensions there. Just wondering how pricing is looking like here. Are you starting to implement some of those delayed pricing? Should we see some positive momentum on the Canadian pricing front as we exit this year and looking into early 2021?
Luke Pelosi: Kevin, what I'd say on pricing is when we say the delay, we still want to bring that back to the context of this sort of latent pricing opportunity that we've spoken about being in our existing book of business, so the sort of catch-up pricing that we said that's going to provide a tailwind for the first sort of 12 to 18 months at the gate. That's really what's paused.  Our otherwise sort of normal course pricing has continued, and I think that's why you're seeing our pricing roughly in line with our original guide, which came out the year very strong. But even Q2 at sort of high 3s; Q3, mid-3s; and Q4 is going to be low 3s, but that's going to end our year right in the sort of middle of that range, what we said we intend to play, that sort of 3.5% to 4% range.  I think the Canadian dynamic, that opportunity still remains. We're not going -- people normally are doing their big sort of TIs in the beginning of the year. We haven't decided to now do those in Q4 instead, so you're not going to sort of see that catch-up this year. But I think, if the world continues on the path to more normalcy, we'll revisit the sort of harvesting of that opportunity in 2021 in sort of normal cadence of our regular pricing regimes by market.
Kevin Chiang: Okay. That's super helpful. And maybe just a second one for me. I'm just trying to wrap my head around what's the run rate EBITDA margin for liquid waste. So a big margin quarter north of 20%. As you pointed out, organic growth has been challenging here, but a lot of that is revenue, you think, that's pushed out in timing. So as that volume eased back, like, how do we think about incremental margin given your launch points here off of Q3?
Luke Pelosi: Yes. So what I'd say, Kevin, goes back to what we said on the road, even before COVID, I think, still sort of holds true, and there's been some sort of swings in the sort of COVID environment. But historically, that business was a sort of mid- 20s margin business that we thought we could take up to a high 20s margin business, and I think that holds true.  Now Q2, obviously, that -- with the rapid volume sort of loss, we were behind that. You see in Q3 now picking some of that back up. I mean, Q4 will be more muted, but I continue to believe that, that holds true. We said there was sort of 200 to 300 basis point expansion opportunity in both the liquid and soil businesses, and we still think that, that's the case.  So if that ends of the year in the sort of mid- 20s, I think our original plan pre-COVID would have been -- we would have been moving that -- the ball down the field and then sort of more at 26, 27 run rate. But I think we end the year ideally in the sort of mid- 20s, with still believing the opportunity as the volume returns to add the sort of 200-plus incremental basis points to that over the next sort of, call it, 2 to 3 years.
Operator: Your next question comes from Tyler Brown at Raymond James.
Patrick Brown: So I really appreciate the operations map. I know it seems simple, but I think it's really helpful to see the big picture. So as I look at that map, though, I'm kind of curious about a couple of things. So number one, I mean, I know it's early, and integration is the focus. But anecdotally, how is the morale of all of the folks that you brought over, particularly in those markets that you overlap? And then number two, I think, obviously, if you look at it, there's a number of, call it, theaters of war here. And so should we simply think about tuck-ins as kind of filling around those triangles?
Patrick Dovigi: Yes. So on -- I mean, WCA, I mean, I think, again, there was a lot of nervousness for people just trying to understand what the plan was, I mean, because, again, they knew a lot of those corporate functions weren't going to be needed in Houston, right? So I think people have settled down. I mean, from an operational perspective, listen, everyone's in their chairs. Everybody is happy. Everybody's relieved. The changes that had to get made at corporate has been well articulated. The individuals that are on that are staying for a period of time around transition services agreements and have transition bonuses and stay bonuses, so that's gone. You never know how it's going to go, but it's gone extremely well.  On the WM and ADS front, I mean, it was like Forrest Gump sort of running up their hole because that team was just so tired. That product has dragged out. I take my hat off to Richard, his entire team at ADS for being able to keep that group together for as long as he did because when that dragged up for 17 months, it created a lot of uneasiness with employees. So the employees that we kept and employees that Waste Management kept, everybody is so excited and relieved and just really looking forward to the future. So I would say, the morale had probably never been better, and everybody's sort of energized and rejuvenated.  I think when you look at the map, you can see some of it is overlap, some of it is new beachheads. I think, all in all, again, focus on the integration, but there's a very well-defined tuck-in program behind some of these beachheads that we acquired, particularly in the Midwest and parts of Florida. And closing in the gap in parts of the Midwest, I think we have a very sort of well-defined and articulated plan to continue the sort of tuck-in program. Nothing of any sort of substantial size or scale, just all stuff that works well within the profile that we discussed earlier, which, again, is using free cash flow and borrowing but, at the same time, delevering. And I think we've articulated that plan numerous times over the last year, and I still think that we will continue to prove it out.  So I mean, we still have a plan to acquire -- I think everyone's sort of modeled acquiring sort of $50 million to $75 million of EBITDA a year in those markets. I mean, I still think it's conceivable that we could acquire sort of $75 million to $100 million a year of EBITDA. I'm talking around our existing platform and the new beachheads. But with COVID, things have slowed down. Everyone seems to be just taking a little bit longer. But I think when you look, particularly at the next 2 years, we're very well positioned to execute on that moving forward.
Patrick Brown: Okay. And then where were the 3 tuck-ins you closed this quarter? I'm just curious.
Patrick Dovigi: So there was two in Ontario and 1 in the U.S.
Patrick Brown: Okay, okay. And then, Luke, I've got a couple of modeling questions. So pro forma, I guess, or just layering in all the landfills, where do you think your closure -- post-closure cash out the door will be annually?
Luke Pelosi: Tyler, it's something particular to the ADS side that we're working through right now, so you're going to have to give me until we come back in the more sort of formal guide. So we've sort of provided the guidance for that sort of fully baked.  But I mean, when you look at where we're at today, we're basically sort of doubling the overall sort of landfill capacity across it. So I mean, that's a simplified proxy, I'm spending 25 to 30. If I'm spending 25-ish today, it's going to 50. But the actual sort of number, as you know, there's sometimes some cadence and some timing with how that sort of shakes out. So I'll give you an actual 2021 number as we get the ADS sort of engineering and all done.
Patrick Brown: Okay. That would be great. And then I just want to make sure I'm clear. So $0.01 move in the Canadian dollar, that's about $7 million in annual EBITDA. Is that right?
Luke Pelosi: Correct. Yes, I mean, if you look at the launch-off point that we're doing on, I mean, before I said the 13 40 launch off point, right? Again, that was sort of the 1 34, 1 35. I mean, there's $700 million of U.S. dollar-denominated EBITDA in there. So every $0.01 is $7 million. So if I now end at 1.30 flat, where it looks today versus the 1.34, 1.35, there's sort of $25 million, $30 million difference from what I said before.  Now we're going to, as I said, work on some constant currency to sort of carve that noise out. And truthfully, there might become a time where we flip the currency, and you'll see everything in $and might make it easier for you guys, but that's the -- those are the facts where we sit today.
Patrick Dovigi: But just to reiterate the launch-off point.
Luke Pelosi: Yes. We've had said 13 40. As I said now, I think there's some puts and takes of this. But absent FX, that holds true. I mean, but again, with the FX, it's -- that's the sensitivity I just said.
Patrick Brown: Yes. Okay. Perfect. And then just last one. Just to be clear, these deals, you don't expect them to change your cash tax paying status any time soon.
Luke Pelosi: No. I mean, again, we're still working on how to continue to push that out longer runway than we have today, but we still have the several years that we've previously disclosed. And I mean, adding this -- there may be an opportunity to slightly sort of extend that, but it doesn't -- certainly doesn't accelerate anything from the prior guidance.
Patrick Dovigi: Keep in mind, WM and ADS, the way the deal was structured, right, is asset deals that it provides a lot of cover, too.
Operator: Your next question comes from Walter Spracklin from RBC Capital Markets.
Walter Spracklin: Yes. So I'll start here with your specialty waste side on the liquid infrastructure and so on. It sounded on your prepared remarks as though this is, in order of magnitude, a little deeper than what you were expecting as we went through COVID by now, if you could confirm that. And perhaps, I know Patrick, you had kind of signaled that you expect it to come back. Luke, I think you signaled that, yes, but it probably won't in the fourth quarter. Let me know if I'm getting all this right.  And then finally, what's your visibility? When can you say, "Okay. Now we have clear visibility here. We're seeing those budgets come back. We can say with a higher degree of certainty that, yes, we'll see this level off and stabilize as of quarter x?"
Patrick Dovigi: Yes. So on the infrastructure side and the soil side, I mean, I think, number one, the government is going to deploy a significant amount of capital into the infrastructure, which you've seen many of the announcements. That all being said, I think a lot of it was permit-driven. Like we talked about a quarter, we were seeing delays in people getting permits because these municipal offices, there's no one sitting in the office. They're all sitting at home, some time to get their permits, et cetera.  But when I look at the infrastructure business alone, our current work in hand today is about $375 million, right? So that is probably the highest number we've ever had going into a new year, right. So into 2021, $375-ish million on hand. And our probability average weighted pipeline today is another $500 million of work that we price that we believe we are going to be selective on getting. Now will 100% of that come in, in 2021? No, but I think from where we sit today and the conversations that we're having, that's -- the ship is going to turn there.  The two pieces that -- a little bit uncertain. Obviously, our Northeastern soil operations and our soil operation in California have been very slow. Now I don't know if after the election things change, and that sort of gets back on -- it gets back in action, but I think those are the 2 that, again, we're just waiting for sort of visibility on. But other than that, I think we're -- it's -- I think it's going to come back.  I mean, when you look at the liquid business in Canada, it's been very good. It's bounced back. Again, we were relatively flat sort of in the third quarter. I mean, the bulk of what we've had is some of the industrial cleaning business, and then, obviously, used motor oils, those two of them sort of tailwind I mean -- or sort of headwinds from our perspective.  But I think -- if we think at the end bridges of the world with some of the other companies that we do a lot of industrial work for them, when oil dropped, they were looking to conserve capital. I mean, at the end of the day, that work needs to be done. It's just a question of when. I mean, you can put it off for 6 months. You can put it off for 8 months. But then you have to do the work. So we believe we'll be doing the work. And they've communicated to us that we'll be doing the work sort of going in 2021 when we revise our budget.  So all in all, I think it's -- yes, it's a little bit more than we thought, but at the end of the day, fairly consistent with what we've seen so far.
Walter Spracklin: Okay. And then moving your solid waste, you referenced the monthly improvement as we continue here into the fourth quarter. Is it fair to say from modeling perspective now that your improvement that we should see a fourth quarter that's better than third?  Still a weaker first quarter, but better than fourth and then obviously start lapping in the second quarter. Is that how you're -- is that how -- should we look at any different than that in terms of the cadence as we emerge -- as we go into early part of 2021?
Luke Pelosi: Yes. Walter, it's Luke. I'd say that's right, the only caveat being, I mean, you're here in Toronto and with the way the wind blows with some of these Canadian sort of provincial governments, right? So I think on the current trend, yes, that's correct.  Obviously, any material deviation from these current reopenings or material incremental restrictions could hamper that, but that's how I would be modeling it today.
Walter Spracklin: Okay. Perfect. And finally, on M&A here, you mentioned your pipeline is full with regards to tuck-ins. Can you give us any indication as to region of focus? Where would you like to see -- based on the pipeline that exists, which ones would you say you're going after as areas you really want to build some density and some added density into your current operation geographically?
Patrick Dovigi: Yes. I mean, so when you -- I mean, again, big focus is obviously on tuck-ins in the existing markets where we already operate. But when you look at the new platforms we've acquired by way of the sort of ADS divestitures, if you look at what we acquired, I mean, we acquired some excellent post-collection operations. And we acquired excellent sort of commercial front-load routes that are some of the best businesses that all of us, the waste peers, own.  Now what we have to do is, again, the focus is on building out the roll-off side of our business and looking at adding incremental high-margin volume for the landfill -- to those landfills that we've acquired in those markets. So that's what I think you'll see the focus on. I think that's where we'll get the best bang for our bucks in terms of the dollar spend, particularly around the M&A front moving forward.
Operator: Your next question comes from Mark Neville at Scotiabank.
Mark Neville: First, congrats again on those deals across the finish line. Maybe just to round up the free cash flow discussion. Just for the Q4 loop and the 2 deals aside from advisory are expected to be cash flow neutral. That's with all the sort of onetime investment in working cap and CapEx you spoke to. Is that right?
Luke Pelosi: No. I would say x all of those items, I mean, like the working capital investment, again, that's really -- I've been made whole for that in the purchase price line, that's going to show up as a drag on the cash flow line. I mean, if you think about $135 million to $145 million of revenue coming out of those businesses, you apply a sort of EBITDA margin the way we were talking about, that's your sort of starting point.  If you have a bit of outsized CapEx, again, really just purchase price and then you have the investment in working capital on the WM assets, I mean, that's going to be more than an offset against whatever that normal flow -- cash flow from operations there with.  But again, I'm characterizing those, I think, as more purchase price adjustments as opposed to sort of true operational cash flow. They're just going to manifest themselves in that section of the cash flow statement.
Mark Neville: Sure. And it's just -- it's all sort of captured into Q4, those investments. It doesn't spill over to Q1.
Luke Pelosi: Well, I mean, the CapEx will all be Q4. The working capital, I mean, yes, I think, 3 months to build up for normal position, right? But I think you'll see the majority of that investment in Q4. Maybe you got a little bit into January. But by that time, you should be at that normal run rate of working capital.  The reason I just say three because of the seasonality profile of that business, right? There'll be a little bit more investment as you come out of Q1. But I think for the most part, it would be a Q4 noise.
Mark Neville: Right. And just on the solid waste on the margin, there is some good color on where you think the margin will end the year and where it closes. Just maybe just try to understand the Q3 sort of what -- was there any sort of -- I don't know if it's the pricing strategy, just what really explain the strength in Q3 and maybe why it will step down in Q4? Is there anything that sort of goes away, I guess, in Q4?
Luke Pelosi: Yes. So I think the margin, as a whole, if you will look to what's driving solid waste margins, I mean, across all the geographies, what you have is a meaningful expansion of operating margins in the collection businesses, offset today by sort of drags in the post-collection businesses, which is just more of the sort of volumetric impact from COVID in those. So that's what's driving.  And if you think of what's actually underlying in there, I think it goes to the pricing strategies that we've been talking about and seeing the benefit of that coming through collection, the synergy realization, as we've brought those sort of businesses together and you're now sort of realizing that. And then yes, you have some COVID benefit, as we've taken the most expensive hour, the most expensive truck, those costs out of the system.  So the Q4 step-down, if you will, is more just a function of the seasonal profile of the business primarily from the Canadian market, where you just have lower activity and lower dollars contributing. And therefore, it was sort of a bigger fixed cost base falling through. So the overall strategy of what's driving the margin expansion, I don't think that is changing in Q4. It's more just a sort of seasonality profile, while Q4 is typically a lower margin quarter, if that makes sense.
Operator: Your next question comes from Rupert Merer at National Bank.
Rupert Merer: Just a quick question on the tuck-ins that you made in the quarter. Can you talk about the multiples on those deals and how multiples are trending? Is there any deviation from your previous guidance?
Luke Pelosi: Rupert, I mean, we said this. If you -- look, we deployed sort of $20 million-plus on these small little deals. As we said before, multiples in these deals isn't really a construct or consideration from a vendor, from a negotiation perspective. I mean, they blend out to something in the sort of 5 to 6x is what we're acquiring them for. But as we said, on the smaller ones, they're often not sort of thought about in that, what is the multiple perspective from the vendor's perspective. I'd just reiterate that guidance.  What we've said, and I think what we continue to say is we're not seeing any sort of differentiation from a multiple or from a valuation perspective on the small stuff. Obviously, the larger stuff over the last few years is sort of traded up. But the small sort of tuck-in program, we continue to believe at sort of 6 to 7x valuation is -- remains true and where you'll see us transacting at in the near term.
Rupert Merer: And then just finally, given that you now have a broader platform, more geographies, I imagine the pipeline of opportunities is going to grow here. Are you seeing that? And does that end up giving you sort of a better pool of deals to select from? Do you think it could high grade the pipeline for you going forward?
Patrick Dovigi: Yes. I mean, when we look at the sort of pipeline as it sits today, I mean, we sort of bucket them by sort of Tier A opportunities and Tier B, what's the most accretive and what's sort of less accretive to the -- to look at the current strategy, which I just articulated. But there's 29 opportunities that sort of sit in that Tier A bucket, and there's 18 that sit in the Tier B bucket. And I mean, this range from purchase prices of a couple of million to $60 million.  So I mean, I think that pipeline is very full and highly synergistic, so I think we will work to sort of execute on that as we get through the integration process here over the next sort of 2 months to make sure any little bumps on the road gets smoothened out when everything is running the way we thought it was going to run and is meeting -- we're exceeding our expectations.  So yes, I mean, at the end of the day, for us, as we've talked about this numerous times, it's capital allocation, right? You can only put and do so much in one specific market at a specific time or something is going to fail, right? So whether it's organic is suffering, whether inorganic is suffering, whether the acquisition integration is suffering, so again, us allocating the capital amongst the 9 provinces in Canada, now to 27 states in the U.S. is sort of going to be top of mind.  And our integration team has to be ready. Like we've talked about before, we do it all internally, so that integration team has to be ready to take on more to be able to integrate into those new acquisition. So getting those -- the 2 larger ones going on the platform now is definitely paramount. And then we'll turn our attention back to the normal Steady Eddie everyday sort of tuck-in opportunities.
Operator: Your next question comes from Tim James at TD Securities.
Tim James: And congratulations on the positive developments in the quarter. My first question, I'm just wondering if you feel now that the footprint you've built over the years is actually allowing you to capitalize, and I'm thinking in terms of organic growth as opposed to M&A, and maybe more specifically, Canada. But I'm wondering if that footprint, if you're seeing opportunities to capitalize on the challenges of some of your competitors during the pandemic. Or is it really too soon to gauge that at this point?
Patrick Dovigi: Yes. I mean, certainly, there's been a little bit of that. Would I see that as front and center? No. I mean, there are smaller competitors in the markets that have been significantly affected by this and don't have the balance sheet to sort of ride it out. And those, again, create opportunities. But at the end of the day, this is a good resilient business, and a lot of our competitors.  I think what you're seeing now is just the people want to -- similar to what we saw in 2008, 2009 when we had the financial crisis, and just like from people's perspective, their perspective on life changes, right? As they say, "Do I want to live through another pandemic. Do I really want to live through another year of this? I sort of want to lose my life. I want to join my family," and that is more of the theme we're seeing from a lot of these family-run businesses. That have been a huge focus of ours over time.  So I think that's what we'll see and what's lending itself is the opportunities that we're seeing today. So I think that theme will continue to persist in the forum. I mean, I think some of the tax reform stuff that -- in the U.S. that people were focused on, I mean, I'm not exactly sure what happens with the election. I mean, whatever, I think it's sort of leaning towards Biden camp, but it looks like the Republicans have probably kept the Senate. So I'm not sure there'll be some sweeping tax reform that's going to drive people to try and get things done a lot quicker. But who knows? That seems to change on an hourly to a daily basis. But I think the opportunity is there just continues to be what I said.
Tim James: Okay. That's helpful. My next question, just looking at liquid waste, in particular, and the really impressive margin expansion in that business year-over-year. The presentation cites, and I think you walked through it, Luke, a couple of reasons for that. Is it possible to kind of quantify a little bit or rank the importance or significance of those impacts for driving that liquid waste margin expansion?
Luke Pelosi: Yes. So what I'd say is on a year-over-year basis, really, what you have coming through is the sort of the synergy component of having the -- both U.S. and Canadian businesses sort of gel together, right? So the original sort of thesis was that there, as I said, 200 basis points of expansion just by bringing those sort of businesses together. I think that's sort of first and foremost.  Second, in the quarter, I mean, obviously, the cost control measures implemented in Q2, as some of the volume came back sequentially in Q3, you benefited from that. I'd say that's probably the sort of second in terms of priority of what's driving. You'll give some of that back, but some of those cost control measures, as I said, are permanent and, therefore, we hope to be able to enjoy that sort of going forward on a more permanent basis.  And then the third is you have the used motor oil net pricing, right? So when you went from Q1 to Q2, pricing went backwards. You ended up, that was margin decretive. As you've now split the pricing and you're in sort of a plus 13% on the overall blended net pricing, that obviously becomes margin accretive as you realized that now.  In the grand scheme of it, our used motor oil sales are a relatively smaller part of the overall liquid waste business, so it doesn't have as much of an impact, but it's certainly a benefit when you look sort of quarter-over-quarter.
Operator: That concludes our question-and-answer session. I would now like to hand back for closing remarks.
Patrick Dovigi: Well, thank you very much. We look forward to speaking with everyone after Q4. And as always, Luke and I are around to answer any call -- any questions or calls that anyone wants to catch up on. Thank you very much.
Luke Pelosi: Thank you.
Operator: Ladies and gentlemen, thank you for participating today. You may now disconnect your lines.